Operator: Good day, everyone, and welcome to the ENSCO International Third Quarter 2007 Earnings Conference Call. As a reminder, this conference is being recorded, and your participation constitutes consent to its taping. I will now turn the conference over to Mr. Richard LeBlanc, Vice President of Investor Relations who will moderate the call. Mr. LeBlanc, please go ahead sir.
Richard A. LeBlanc - Vice President of Investor Relations: Thank you, Anthony. I'd like to welcome everyone to our third quarter 2007 earnings conference call. With me in Dallas are Dan Rabun, President and Chief Executive Officer of ENSCO; and Jay Swent, our Senior Vice President and Chief Financial Officer, as well as other members of our executive management team. This morning, we released our earnings announcement and filed our 8-K with the SEC. We also expect to file our 10-Q later this morning. Earnings release is available on our website, www.enscous.com. As usual, we'll keep our call to about an hour. Jay will provide a financial overview, Dan will then discuss our market and operations. I'd like to remind everyone that any comments we make today about our expectations and future events are forward-looking statements pursuant to the Private Securities Litigation Reform Act of 1995. All such statements are subject to risks and uncertainties and many factors could cause actual results to differ materially. We refer you to our earnings release and SEC filings available on our website which defines such forward-looking statements, states that the company undertakes no duty to update any such statements, and lists risk factors which could cause actual results to differ materially from our expectations. I'd also like to remind everyone that with regard to our rig status, a detailed listing is provided on our website and is updated the middle of each month when we file our 8-K with the SEC, the last update was as of October 15th. At the end of our prepared remarks, we'll take some questions. At this time, let me turn it over to Dan for an opening comment, please.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Yes. Before Jay and I begin our prepared remarks, I'd just like to make a few comments. On behalf of the entire ENSCO organization, I'd like to extend our condolences to our friends at Perforadora La Centra, PEMEX and all of the affected families of yesterday's incident in Mexico. We are always reminded that people in our industry work at times under very difficult conditions and we must continue our commitment to safety for all of our people. Jay.
Jay W. Swent - Senior Vice President and Chief Financial Officer: Good morning and thank you all for joining us today to review ENSCO's third quarter results. The third quarter was another record for ENSCO with net income increasing a 24% from prior year levels on a 14% increase in revenue. Earnings per share increased by an even greater percentage, 30% as a result of our ongoing share repurchase program which reduced the average share count by 6.7 million shares versus third quarter 2006. Earnings per share for the nine months ended September 30, 2007, showed even stronger growth, increasing 40% over 2006 results. Our improved operating results in the quarter were principally driven by higher international day rates and the addition of ENSCO 108 to our fleet in May of this year. As noted in our press release this morning, there were a few unusual items that impacted the quarter. First, we currently have several jackup rigs in the process of mobilizing and preparing for new contracts. The downtime associated with some of these moves negatively impacted our third quarter results and will adversely impact fourth quarter as well. As worth noting, in certain circumstances, we are paid by our customer while a rig is being mobilized. However, accounting rules require us to defer this revenue during the mobilization period and subsequently recognize revenue only after we begin drilling operations. For example, ENSCO 107 had billings of $12.9 million during the third quarter, but revenue recognition did not begin until we commenced drilling operations in October. This $12.9 million will be amortized over the life of the contract. In addition, we incurred approximately $5 million of expense related to the exit of ENSCO 100 from Nigeria. This rig is currently under tow to a Rotterdam shipyard where it will be prepared for its North Sea contract which is expected to commence in early 2008. And finally, we recognized an $11.1 million tax benefit relating to a favorable resolution of a previously uncertain tax position. Excluding the $11.1 million tax item our third quarter effective tax rate was 21% down slightly from 23% a year ago and in line with second quarter 2007. Now lets look more closely at the specifics of the third quarter. Here we will compare the third quarter 2007 sequentially to second quarter 2007. Consistent with our guidance given in late August third quarter revenue was little changed from second quarter levels. Contract drilling expense increased approximately 6% from second quarter levels due to the costs associated with our exit from Nigeria, a wage increase for our Europe-Africa offshore personnel, higher repair and maintenance expense, and a full quarter of operations for ENSCO 108. G&A expense decreased by $8 million compared to the second quarter as the cost of our former CEO's retirement package was largely incurred in the first half of the year. Excluding this retirement cost, G&A expense actually decreased by $800,000 during the quarter. Now, let's look more specifically at third quarter results in each of our major geographic markets. The average day rate for our Asia Pacific jackup rig fleet was $132,900 down slightly from $134,900 in the second quarter. This change was not market driven, but instead was primarily due to deferral of revenue recognition on ENSCO 107 during its move to New Zealand. Asia Pacific jackup rig utilization was 99%, the same as last quarter. Average day rates for our Europe-Africa fleet increased to $203,100 from $195,200 in the second quarter as ENSCO 1... 71 received an 11% increase and ENSCO 85 commenced work at $255,000 per day as a substitute for ENSCO 100 pending its arrival in the North Sea. As we announced in August, ENSCO 100's mobilization to the North Sea was delayed due to late arrival of the transport vessel. Utilization in Europe-Africa was 90% during the quarter, a reduction from the 100% level achieved in the second quarter. This was due to the exit events go 100 from Nigeria and inspection downtime on two of our North Sea rigs. Day rates for our North and South America jackup rigs averaged $112,600 in the third quarter compared to $113,700 in the second as we continue to be adversely impacted by the slowdown in activity on the Gulf of Mexico shelf. North and South America jackup rig utilization was 78% in the most recent quarter, a slight decrease from 82% in the second quarter. ENSCO 93 was in a shipyard for upgrade during the quarter with completion expected in mid-February 2008. Let's move now to cash flow. Cash increased by $76 million in the third quarter to $623 million. Operating activities generated approximately $335 million and $8 million was received from the exercise of stock options, asset dispositions, and other items. Offsetting this, we spent $118 million for capital additions, $82 million of which relates to construction of the 8500 Series rigs. We also spent $145 million for share repurchases and we paid $4 million in dividends. Let's now turn to the outlook for fourth quarter 2007. We expect fourth quarter revenue to decrease by approximately 7% from third quarter levels. Approximately half of this is due to lower day rates on our Gulf of Mexico jackup rigs and the remainder is the result of a decline in operating days as four jackup rigs are prepared for startup of new contracts. These rigs include two of Europe-Africa rigs, ENSCO 85 and ENSCO 100, and ENSCO 81 as it prepares for work in Mexico. One of our Asia Pacific jackup rigs, ENSCO 104, will also enter a shipyard for approximately 60 days of work prior to commencing a new contract in Indonesia. Both ENSCO 85 and ENSCO 104 are receiving day rate for some of this shipyard and mobilization time and this revenue will be deferred for revenue recognition purposes until early 2008 when the new contracts are expected to commence. We anticipate fourth quarter contract drilling expense will increase by less than 1% to approximately $180 million. Fourth quarter G&A expense should be approximately $12 million, a slight increase from the third quarter levels. Fourth quarter depreciation expense is expected to be approximately $48 million and our effective tax rate should remain at approximately 21%, consistent with the third quarter, excluding the tax benefit previously discussed. Now just a few comments on the full year 2007. We expect shipyard days associated with an enhancement project to be approximately 430 days in 2007, an increase of 50 days from the guidance we gave last quarter. This increase is related to ENSCO 81 preparatory work that must be completed prior to commencement of its new contract with PEMEX in late December. ENSCO 93 is our only other major shipyard project that remains to be completed, and will carry over to first quarter 2008. If you combine our year-to-date results with the fourth quarter outlook, you will see that we expect full year 2007 contract drilling expense to increase by almost 20%. About one quarter of this year-over-year increase relates to our exit from Nigeria and the associated cost with repositioning rigs and the higher cost for more lucrative long-term markets. We also had a higher than usual level of reimbursable expenses in Nigeria. We can currently expect 2007 capital spending to be approximately $555 million, generally in line with our earlier guidance. $390 million of this amount relates to new rig construction which includes progress payments on our four deep water rigs and the final ENSCO 108 construction payment. We also expect to spend about $85 million for enhancement projects, primarily related to ENSCO 83 which was completed earlier this year, ENSCO 93, and ENSCO 81. In addition, we expect to spend about $80 million for sustaining projects. We are in the process of finalizing our 2008 budget, so there may be some adjustments, but we expect 2008 CapEx to be in the range of $550 million. This is based on $450 million for new construction projects, $15 million for enhancements, and $85 million for sustaining CapEx. Dan will talk more about our 2008 outlook in his comments. With those comments, I'll now turn the call over to Dan.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Thank you, Jay, and good morning everyone. Today I will begin by discussing developments since our last call, and then we'll follow the same format as last quarter's call and provide some insight into our markets and current operations. I refer you to our monthly contract status report filed last week for rig-specific details. We are very pleased on the progress of our deep water initiative which we believe will provide meaningful long-term growth for our company. With regard to our 8500 Series rigs now under construction, delivery of ENSCO 8500 is currently scheduled for the second quarter of next year. At mid-November, the pontoons for ENSCO 8501 will mobilize from the Keppel Shipyard in the Philippines where they were constructed to Singapore for dry docking and final assembly. Progress on ENSCO 8502 also continues on schedule and we will strike steel on ENSCO 8503 this coming April. During the quarter, we announced a definitive drilling contract for ENSCO 8502 with our good customer, Nexen Petroleum USA. The drilling contract calls for a minimum two-year primary term in the Gulf of Mexico which can be converted to a three or four year term by Nexen prior to commencement of operations. The aggregate day rate revenues expected to be earned during the two-year term is expected to be approximately $340 million. We believe the financial returns we will achieve from our cost effective deep water rig, ENSCO 8502, will exceed the financial returns of the other recently announced fixtures for comparable deep water new build rigs. We are marketing ENSCO 8503, our only deep water rig that is not committed. We are encouraged by the interest shown by several prospective customers. With its late 2010 delivery date still being several years out, we are confident that the rig will be contracted well in advance of delivery. The Gulf of Mexico deep water market continues to flourish as operators gain interest. This is evidenced by the focus on the deep water prospects in the Western and Central Gulf of Mexico lease sales. Additionally, there are outstanding deep water requirements in Asia, India, Africa, and Brazil. We continue to look for opportunities to expand this part of our business to add long-term shareholder value. During the quarter, we continued our commitment to address our capital structure in ways that we believe will enhance long-term shareholder value while maintaining financial agility to address growth opportunities in addition to investment in our deep water fleet. During the quarter we announced the completion of our initial $500 million stock repurchase authorization and on August 29th our Board authorized an additional $500 million of stock repurchases. We have already purchased 100 million of the second authorization and we anticipate continuing our share repurchases at a similar pace. We have received a number of questions about the merits of special dividends versus stock repurchases. Let me be very clear. While we consider all the alternatives for returning capital to our shareholders, we believe that ENSCO stock represents a tremendous value at this time and we fully intend to continue with stock repurchases which we believe currently provides the best opportunities to enhance long-term value for our shareholders. Moving on to our international jackup market reports, our international jackup fleet is virtually contracted for 2007 and approximately 76% of available jackup rig days are already contracted in 2008. If you had options that we currently expect to be exercised based on our conversations with our customers the amount of expected contracted days would considerably see that number. In the Southeast Asia premium jackup market the ENSCO fleet has currently fully contracted the 2007 and excluding unexercised options we have over 80% of our 2008 available rig days already committed in this region. Existing known demand is for both long- and short-term work primarily in Malaysia, Indonesia, and Vietnam. We also expect that new programs will appear as 2008 budgets are finalized and we will begin to see incremental demand opportunities as rigs become available. In the Middle East, there continues to be a great deal of activity. The ENSCO fleet in this region is fully committed through 2007. We also expect our fleet to be committed in 2008 as extension options are exercised. Saudi Aramco has indicated it may require as many as five additional rigs in the first half of 2008 for long-term drilling programs, which includes the pending outstanding tenders. We see an undersupply of two jackups in the partition neutral zone and additional shortages in the United Arab Emirates if plans to increase production materialize. Iran has confirmed requirements for at least 13 additional rigs, but due to imposed sanctions and resulting lack of rig availability, continues to postpone programs. In India, we see several opportunities for incremental rig demand. We expect our current customer in that market, BG, to add one additional rig next year following monsoon season and, depending on the outcome of development projects, may possibly add several others. Overall, we expect the Middle East and the Indian markets will continue to see an increase in drilling activity over the next several years. The North Sea jackup market currently is fully utilized with only limited availability for high spec rigs later this year. Additional opportunities exist and rates remain firm. By way of example, we recently fixed the 2008 rate for ENSCO 102 in the high 270s, which is up from its current rate in the low 270s. Two and perhaps three rigs, including ENSCO 85, are expected to mobilize out of the North Sea by the first of the year. As noted on our last contract status report, we have contracted ENSCO 85 to PA resources in Tunisia for a minimum of nine months of work at a rate in the low 200s. We are encouraged by the level of additional inquiries for work in this region. We believe additional rigs may be drawn out of the North Sea as several long-term projects are in the bid process in the Mediterranean and for requirements in the Barents Sea. We believe that any such rig departures and the increase in opportunities now evident will likely cause a supply deficit in the North Sea market in the second and third quarters of 2008. Overall, we expect 2008 will be another good year for the North Sea. Turning to the U.S. Gulf of Mexico, as noted in our recent contract status report, PEMEX recently awarded a two and half year contract to ENSCO 81 at a day rate in the mid-160s for the first year with the remaining commitment indexed to a global rate. Having decided to actively pursue work for PEMEX, we are pleased to expand our operations into Mexico. With pressure on the U.S. Gulf of Mexico market continuing, this move further reduces rig supply and we are effectively doubling ENSCO 81's current day rate. In the Gulf, the 250-foot to 300-foot jackup market continues to be weak despite a growing number of discussions regarding potential programs. The reluctance to start programs during hurricane season has delayed several programs. Several that previously were termed as August-September start dates are now slated for November and beyond. The programs that are moving forward are short in duration and, in many cases, larger rigs are competing for work with standard and mat rigs which continues to pressure day rates. On the positive side, the outlook for larger jackups is relatively strong with signs pointing to continued improvement. Early this year, Exxon Mobil had ceased jackup drilling operations in the Gulf, but is now planning a 12 to 18 month multi-well program for at least one jackup with commencement in mid 2008. We also anticipate that in coming months Chevron and Apache will increase activity on the shelf along with the other operators that have acquired properties over the last few years. As 2008 budgets are finalized we expect to see more activity and with the expected departure of Gulf of Mexico rig to international markets, it is anticipated that this market will improve in 2008. However, this improvement will not deter us from continuing to market our rigs aggressively outside of the Gulf of Mexico where we see opportunities for more lucrative long-term work. As Jay discussed in greater detail, during the third quarter and looking forward to the fourth quarter, our overall short-term operating results have or will be tempered by a lower day rate utilization in the Gulf of Mexico, our decision to exit from our operations in Nigeria and the deferral of revenues during mobilization or de-mobilization as we reposition international rigs. However in whole 2007 is expected to be yet another record year for ENSCO. We have just completed our comprehensive budget process so we have very good insight into what 2008 looks like. As we look ahead we expect 2008 will be another record year for ENSCO. I would like to specifically focus your attention on several key points as we discuss 2008. As mentioned a few minutes ago in my remarks, a significant percentage of our international rig days are already contracted, so we have very good visibility into our international markets. More importantly, we had a number of international rig moves in late 2007 that were a significant drain on third and fourth quarter 2007 results due to down time while immobilizing and deferred revenue recognition. All these rigs will be operating in 2008 and we do not currently contemplate a similar level of rig movements in 2008 other than possible movement of rigs out of the U.S. Gulf of Mexico. We also have no planned rig enhancement projects planned for 2008 other than the completion of ENSCO 93 which will be completed in February 2008. Accordingly, shipyard days will show a meaningful decrease next year. In 2008, our investment in the deep water initiatives will begin paying dividends and positively impact our income as we roll to a significantly higher day rate on ENSCO's 7500 which will increase from the high 190s to the mid 360s when you consider cost adjustments. This will occur in mid-February. And as the first of our 8500 Series Semis commences operations. Overall we have every reason to be very optimistic about 2008. Jay talked to you about our tax rate, which had some positives for the quarter. We have substantially enhanced our tax team over the last two years and had worked very hard at reducing our effective tax rate by strategically repositioning our rigs into lower tax jurisdictions and resolving open tax issues around the world. Our tax rate during 2005 and 2006 was 27% and 25% respectively. As you can see from our release today, our efforts are bearing fruit and our tax rate has substantially improved. Before closing my remarks, I would be remiss if I failed to report that we are having a very good year with regard to safety. The safety of our employees is one of the core values of our company. I'm pleased to report that our safety record has shown continuous improvement over recent years and as the result of the hard work and dedication of all of our employees to make ENSCO a recognized leader in operational safety. All on the ENSCO team are to be commended for their efforts in this important area. Jay and I are now available to answer any of your questions. Additionally, Bill Chadwick, our Chief Operating Officer, and Paul Mars, the President of our International Operations, are available to address questions regarding their respective markets. Richard, I'll hand the call back to you now.
Richard A. LeBlanc - Vice President of Investor Relations: Anthony, we're ready for questions. Question And Answer
Operator: [Operator Instructions]. We'll take our first question from Pierre Conner at Capital One Southcoast. Please go ahead.
Pierre Conner - Capital One Southcoast: Good morning, gentlemen.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Hi, Pierre.
Pierre Conner - Capital One Southcoast: Dan, first question relates to your leadoff commentary about use of free cash flow and I sense some emphasis in your voice on the stock repurchase program aggressive to date on the new program. Anymore to say relative to that program being opportunistic or will it be systematic in terms of just a certain set amount as you progress through the remainder of the quarter?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Well, Pierre, as we told you all before, year-to-date we've done this on a very systematic basis, but that doesn't rule out that we wouldn't be optimistic, but right now the plans are to continue to do it on a systematic basis.
Pierre Conner - Capital One Southcoast: Systematically repurchasing? Okay. On to markets. Congratulations on getting the rig with PEMEX. Good step, I think. And your perspective, there's a wide range of comments on what that ultimate incremental need is, what do you think, over the course of '08, the incremental needs are for rigs into Mexico?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: Pierre, this is Bill. I'm not sure. PEMEX tells us that they need additional rigs. We believe that they'd be tendering now except for some budgetary issues that they have. It is our understanding that those probably won't be resolved until December when they'll come out with their next round of tenders. I think we can realistically expect a minimum of something on the order of five additional jackups going into Mexico next year and maybe as many as twice that.
Pierre Conner - Capital One Southcoast: Okay. That's helpful. One more maybe for Jay and then I know some other people are in line. Lots of the fleet status reports indicates number of the contracts with cost adjustment for costs, rate adjustment for cost escalation, do you have a feel for the percentage of the fleet that's set up that way now, Jay? We talked about the 70% plus that's contracted in '08, what percent is being protected?
Jay W. Swent - Senior Vice President and Chief Financial Officer: Yes. I think the way to look at it, Pierre, obviously in the Gulf of Mexico we don't have cost adjustment, but if you look at the international markets, it's probably in the range of 75% that have some form of cost adjustment which can be anywhere from 100% pass through to partial pass through.
Pierre Conner - Capital One Southcoast: Okay. And I'm assuming that -- of course, the 7500 and 8500 Series are set up that way as well?
Jay W. Swent - Senior Vice President and Chief Financial Officer: Absolutely.
Pierre Conner - Capital One Southcoast: Yeah, great. I know there are lot of other people on the line, I will cycle back if we don't get to it at all. Thank you gentlemen.
Jay W. Swent - Senior Vice President and Chief Financial Officer: Thanks Pierre.
Operator: And we'll take our next question from Ben Dell at Bernstein.
Ben Dell - Bernstein: Hi guys. My first question is really on the North Sea. You mentioned it was tight, but at the same time, you're moving a rig out at the 50,000 drop in day rate. I was just wondering if you can you explain how those two things tie together and also let us know whether the mobilization costs are included in that move?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: No. I think you need to read this carefully. ENSCO 85 is taking a job in substitution of ENSCO 100 while it's under tow so, that was a short-term deal with the same customers at the 255 rate. So that's not a drop in rate it is actually an increase in rate from the 190s to the low 200s. So, the 255 rate is kind of a short-term thing while -- since ENSCO 100 was late getting to that market.
Ben Dell - Bernstein: Okay. And then Asia, we are obviously seeing the transition rig stacked and there is a rig about to roll off in Brunei. I was wondering if you could give us comments on that rig market or do you think that is a specific transition issue with that rig or just a broader market issue?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Well, just jumping back to your last question because I don't think I closed the loop on that. While we see the market being very tight in the North Sea, why are we moving something down to Tunisia. We're very -- there's a lot of activity in Tunisia and we wanted to strategically get down in that market. We already have ENSCO 105 down there and that gives us a much more cost effective operation to get two rigs down there. So, just a closed loop on that. On Southeast Asia, yes, there are two rigs that are out there. I think you probably ought to talk to those particular operators as to what their circumstances are. But it's my understanding as of this morning both of those rigs have contracts.
Ben Dell - Bernstein: Okay, and you talked before about the rate of attrition in rigs being sort of a big driver in terms of taking supply off the market in '08 and '09. Clearly that's not something -- you're not taking rigs off the market. Do you have a feel for who we should be looking at in terms of rig attrition and rig removals?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: I don't think we mentioned rig attrition or rig removal in any of our comments can you clarify.
Ben Dell - Bernstein: Historically, you've mentioned about levels of rig attrition going out into '08 and '09. I'm just wondering if you see that in '08 or whether you believe most rigs are going to stay on the market?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Well, I think what we've said in the past is that rigs come out of the fleet due to accidents and, unfortunately, we just saw one yesterday. So I don't think we've ever said that people will take rigs off the market, and particularly at today's day rates, everybody is going to work any rig that they can work as long as it can be physically made to work. So, I don't think we would anticipate in this kind of market that anybody would withhold rigs from the market, but we do anticipate, because history supports it, that there will be attrition through losses, mechanical failures, or some kind of other events.
Ben Dell - Bernstein: Great. Thank you.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Sure.
Operator: And we'll take our next question from Colin Jerry at Raymond James.
Colin Jerry - Raymond James: Hi, guys. Good morning.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Good morning.
Colin Jerry - Raymond James: Quick question. Obviously, you are all moving into the Mexican market a little bit with the recent PEMEX contract. Just -- as you look at that market, how many tenders are out there right now?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: There are none outstanding as we speak.
Colin Jerry - Raymond James: Okay, and I ask because word around the campfire is that they're seeing a little bit of a pushback in some of the bureaucracy or red tape that goes on between PEMEX and the national government that you're not really going to see too many tenders come to market in the first half of '08 as maybe some people were expecting. Is that -- do you have any visibility on that?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Let me have Bill talk to that.
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: That's not our understanding. There have not been any tenders in the last couple of months. We understand that's due to some budgetary issues within PEMEX, some of which have been well publicized. It is our expectation and understanding that they will tender for additional rigs when their new budget is approved near to the end of this year.
Colin Jerry - Raymond James: Okay. Okay. And then switching gears to the overall cost side. Obviously, you all have been probably the best at keeping or maintaining pretty high margins and keeping costs in check. As you look across the kind of geographic landscape and you gave us a pretty good idea of what you're seeing on demand, how do you see -- in different regions, how do you see costs playing out over the long-term, over the next one to two years? And are there any markets where you see that being more of a threat than others?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Well, I think some of the issues cut across all markets. Certainly repair and maintenance cost is largely driven by third party activity and spare parts and things which are all under a tremendous amount of inflationary pressure at the moment. In terms of labor which, as you know for most operators, is at least 50% of operating expense. I think it remains to be seen how '08 shapes up. Right now there's lots of rigs stacked in the Gulf of Mexico and so it remains to be seen sort of how much wage pressure there will be there in '08. I think we expect a fair amount of pressure in our Asia Pacific and Europe markets in the coming years, and certainly with the new build rigs that are accruing up. There's a tremendous amount of competition for labor and we have new build operators sort of prepared to pay whatever it takes to attract people to come over and join them. So, that's going to be the issue I think all of us have to fight during '08 and '09.
Colin Jerry - Raymond James: So it's really across the Board. You don't see particular regions popping out?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Right. No.
Colin Jerry - Raymond James: And then last question, yesterday NOV mentioned on they're call they're seeing a lot of demand actually from the national oil companies, as far as ordering new rigs and new equipment and so forth. Is this a trend that we should keep our eye on? How do you see this playing out and kind of where are we in that overall ordering cycle for them, just any visibility there.
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: Well, we are monitoring deliveries of our orders very closely and issues crop up from time to time, but thus far all of those have been manageable. In terms of the national oil companies, yes, in the current situation, you're seeing a few more national oil companies get into the rig building and owning arena. Historically, the major operators from time to time have done that. All the major international operating companies have owned rigs in the past and all of them have migrated away from that in the current date. I don't know what the experience of the national oil companies will be, but just because they decide to own a rig and feel like they want to operate one during one particular market cycle to me is not an indication they'll still be doing that 10 years from now.
Colin Jerry - Raymond James: Okay. Appreciate the help. Thanks a lot.
Operator: And we'll take our next question from Robin Shoemaker of Bear Stearns.
Robin Shoemaker - Bear Stearns: Yes. Thanks. In your comments of different markets you mentioned fairly significant increase in rigs needed in the Middle East, and I wonder -- I think those are not exactly tenders yet, but -- or the way you described it. When would you expect to see tenders and how do you -- how are you seeing the influence of the 30 or so new builds that will be coming out in '08 for tenders in some of these international markets in the Eastern Hemisphere? When you're bidding in existing rig against a new build? Are you seeing that in a major way with each new tender?
Paul Mars - President of ENESCO Offshore International: Can I answer that? On your question there in the Middle East there are tenders out at the moment for nine rigs.
Robin Shoemaker - Bear Stearns: Okay.
Paul Mars - President of ENESCO Offshore International: They're existing tenders. With respect to the new build rigs, if all of the work materializes that we know about, and I think we've said this before, then the rigs that are coming out of the shipyard will be absorbed into the market. Now, it won't necessarily all be in the Southeast Asia market. Some of these rigs will migrate into West Africa, some into the Middle East, and what we're seeing is a stagnation in day rate at this point in time. It's not a decrease, but the day rates are not increasing as they were. So, we're seeing a stagnation in day rate and we expect that to continue until these rigs are absorbed into the market.
Robin Shoemaker - Bear Stearns: Yes. Okay. Just one other question then. I think in -- Dan in your comments you mentioned outlook for an improving Gulf of Mexico in '08 from current levels. What do you see, in terms of your discussions with customers, that might make the Gulf of Mexico a little bit better in '08? Of course, rig departures we know about. But on the pure demand size do you see some room for optimism?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Let me -- it is Bill's area so I will let him respond to that.
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: What we're seeing right now is historically an extreme low level of activity and there are a number of reasons for that, most of which have been discussed. One of the specifics Dan mentioned in his remark, we see Exxon making preparations to return to jackup operations in the Gulf of Mexico. In talking to some of our other customers, some of these consolidations have now had time to gel and people have had time to come up with comprehensive drilling programs on a purely cyclical basis. We're at the tail end of hurricane season and we are approaching the beginning of a new budget year, both of which will help. I think what we expect to see is a return to a more normal level of activity in the Gulf of Mexico as opposed to the abnormally low level we're experiencing right now.
Robin Shoemaker - Bear Stearns: Okay. But you weren't tying it to the outlook for a somewhat of an improvement to necessarily to a higher gas price or expectation of commodity, fixed shift and commodity change?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: No. That sure wouldn't hurt.
Robin Shoemaker - Bear Stearns: Of course, it wouldn't hurt. Alright. Thank you.
Operator: We'll go next to Arun Jayaram of Credit Suisse.
Arun Jayaram - Credit Suisse: Good morning, guys.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Good morning.
Arun Jayaram - Credit Suisse: I was wondering if you could elaborate on what you're seeing in the Saudi Arabian rig market, another key strategic partner. You got four rigs working for Aramco and I believe they're -- they've tendered for four rigs. Just wondering if you could comment on what type of equipment they're looking for and which, if any, ENSCO rigs have your bid into this tender?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: Paul just got back from there this weekend, so I will let him answer.
Paul Mars - President of ENESCO Offshore International: Yes. I was over in Saudi just last week and at the moment they've got an outstanding tender for three rigs. They've also told us that they fully expect to take on a further two rigs in the early part of 2008. They may take them from this existing tender or they may re-tender for the following two rigs.
Arun Jayaram - Credit Suisse: And what type of equipment are they looking for?
Paul Mars - President of ENESCO Offshore International: They're looking for a spread of it. They're drilling for oil and they're also drilling for deep high pressure gas. So, out of those five rigs, there would be three drilling for oil, which is your 250-foot rig, and two for gas, which is your bigger 116C class rigs and above.
Robin Shoemaker - Bear Stearns: And have you bid yet into this, Paul?
Paul Mars - President of ENESCO Offshore International: Yes, we have. We've bid three rigs into that market, two of which are from the Gulf of Mexico.
Arun Jayaram - Credit Suisse: And the commercial tenders were open last weekend?
Paul Mars - President of ENESCO Offshore International: It was opened on Sunday. We expect a decision on at least three rigs by the middle of November.
Arun Jayaram - Credit Suisse: Could you just comment, Paul, on what other opportunities you're bidding some of your Gulf of Mexico jackups into, near-term?
Paul Mars - President of ENESCO Offshore International: We're bidding them, apart from Mexico, Bill already mentioned, we're bidding them into the Mediterranean. We see a lot of opportunity now developing in the Mediterranean and there are three outstanding tenders at the moment that we currently bid on.
Arun Jayaram - Credit Suisse: Okay.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: There is currently a tender outstanding with Petrobras for a, what was it? 150-foot rig? That will be likely a 250-foot or above rig that will meet the technical specs. There are additional opportunities down in Venezuela and then PEMEX.
Arun Jayaram - Credit Suisse: Okay. A final question is on the ENSCO 93 upgrade project. What is going to be the cost to upgrade that for future international work and just trying to get a proxy for the 82SDC what it's going to cost you to internationalize those rigs?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: The cost of the 93 will be between $45 million and $50 million.
Paul Mars - President of ENESCO Offshore International: And think, Arun, a point to keep in mind there is there is some life extension work that we're doing; that's not just the cost of an international upgrade for that rig.
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: No. That is vast majority is an extension.
Arun Jayaram - Credit Suisse: What would be the cost for another rig? The 250?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Something in the $15 million to $20 million range.
Arun Jayaram - Credit Suisse: Okay. Thanks a lot, gentlemen.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Yes. Just on that note, we did have 83 in the shipyard last year and it's fully kitted for international service.
Operator: And we'll take our next question from Geoff Kieburtz at Citigroup.
Geoff Kieburtz - Citigroup: Good morning.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Hi, Geoff.
Geoff Kieburtz - Citigroup: Couple of questions. You mentioned that there was expected to be a significant decline in shipyard days next year. Could you quantify that yet?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Yes, Geoff. Really, next year all we have on the plate is finishing out 93, which is, I think, about 45 days down from the 430. 46 down from 430 this year.
Geoff Kieburtz - Citigroup: So that's it?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: That doesn't mean we won't be in a shipyard. We'll certainly be going in doing inspections and routine minor maintenance. So, there will be days in shipyards. But shipyard days, as we usually discuss them, are for major work being done on rigs in shipyards.
Geoff Kieburtz - Citigroup: Okay. Just a discussion there on the Saudi Arabian bids. Did I understand you to say that this was a public bid opening and, if so, can you share with us the rates?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: They don't do like PEMEX does, which is a public forum. There's is not public. Nobody knows what those tenders are.
Geoff Kieburtz - Citigroup: Okay. Yesterday National Oil Well made the projection, let's say, that there would be a new jackup ordered for every one delivered over the next 12 to 18 months.
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: Did you expect me to say anything else?
Geoff Kieburtz - Citigroup: Well, no. My question wasn't so much whether you agreed or not. If that were, in fact, to be true, how would you envision that impacting day rates?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: I've never heard that from anybody other than Pete. I'm not sure I would agree with it.
Geoff Kieburtz - Citigroup: You know the shipyard guys think that might happen too, but that --
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: I suspect they'd want to say that as well. I think you need to look at the facts. The level of jackup orders has really slowed down tremendously. From a year ago levels, there are very few that have been ordered. So --
Geoff Kieburtz - Citigroup: I recognize it's a hypothetical, or at least a one person's view but would we all be relatively safe in assuming if that in fact happened, we would see rates begin to decline. Is the market -- I mean, it's balanced now, right? You were saying that the rates have stabilized.
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: If you're asking a hypothetical question, if people are hypothetically going to build the same number of rigs that exist, then hypothetically there's a heck a lot of demand for drilling. I just don't see it.
Geoff Kieburtz - Citigroup: Okay. All right. And then last question. I may be wrong on this, but I understand that you've classed your 8500 Series rigs as non-self-propelled. Is that correct?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: Correct.
Geoff Kieburtz - Citigroup: And what does that mean as a practical matter?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: You know, the ENSCO 7500, which is being operating since the year 2000, is classed the same way. As a practical matter, it means that when we make moves longer than field moves of a very nominal distance then we have to be towed. We're not a vessel that proceeds under its own power. But the other implication of that is we are not required to have on Board full marine crews as a self-propelled vessel would do during all of the periods of time in which we're conducting drilling operations. So, it's part of the cost effective aspect of that 7500 and 8500 design rig that is an intended measure we take to try and be more cost efficient during the vast majority of the vessel's time when it is not moving but it is actually drilling.
Geoff Kieburtz - Citigroup: Can you give us a sense of what kind of cost reduction that allows you?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: Off the top of my head, I can't. It's a reduction in licensed marine personnel. And off the top of my head I could not give you a number.
Geoff Kieburtz - Citigroup: Okay. Well, thanks very much.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: I think if you go to our website and look at the presentation we gave in Singapore a few months ago; you'll get some of that information.
Operator: And we'll take our next question from Judson Bailey at Jefferies.
Judson Bailey - Jefferies & Co.: Thank you, good morning. Question or follow-up question on the North Sea commentary earlier and actually ties into the Mediterranean. Dan or Paul, could you guess maybe how many jackups could potentially leave the North Sea to go and find work in the Mediterranean? And then second part of that question is, if the incremental demand in the net is that strong, if you're getting bids from, say, the Gulf of Mexico or other parts of the world, wouldn't a North Sea jackup be much more competitive, given obviously the mop [ph] costs would be significantly less or should we expect the incremental demand in the Med to largely be met from North Sea rigs? Or is that possible?
Paul Mars - President of ENESCO Offshore International: I think the incremental demand will be met from wherever the rigs are available at the time to meet the requirement. From what we see at the moment, there is an outstanding tender for three rigs. We know of a possibility of a fourth rig into the Mediterranean. We also are hearing rumors of a rig from North Sea relocating to Angola, one of the heavy duty rigs there. There is also a possibility for two rigs and, again, that would be from the North Sea into the Barents Sea. So you could see migration of four to five rigs out of the North Sea in 2008.
Judson Bailey - Jefferies & Co.: Okay. That's helpful. Second question is on the share buybacks. Dan, if we look over the last couple of quarters, you've basically kind of kept your cash balance in the neighborhood of $620 million. Going forward, is it reasonable to assume if you don't want to build cash that we could kind of maybe factor in share buybacks that would kind of keep you close to that level?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: That wouldn't be a bad assumption Jud.
Judson Bailey - Jefferies & Co.: Okay, great, thank you.
Operator: And we will take our next question from Roger Read at Natexis Bleichroeder.
Roger Read - Natexis Bleichroeder: Good morning, gentlemen.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Hey Roger.
Roger Read - Natexis Bleichroeder: Back to your comments on the Gulf of Mexico seeing some of the companies that have been absent coming back into the market. Is that pretty much you believe conventional drilling in the shelf or is this a little bit maybe of an uptick in the deep shelf programs?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: I think both. Yes. We've definitely seen an uptick in both.
Roger Read - Natexis Bleichroeder: Okay. And then unrelated follow-up, on the operating cost assumptions 2008 versus 2007, and I apologize because I missed the very beginning of the call if you said something about it, is it still reasonable to assume a low to mid-teens sort of operating cost assumption at this point, inflation assumption?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: I'm sorry for '08. That's in the right range.
Roger Read - Natexis Bleichroeder: Okay. Alright, thank you.
Operator: And we'll go next to Alan Laws at Merrill Lynch.
Alan Laws - Merrill Lynch: Good morning. My first question is on the international. You've outlined at best sort of a balanced global market given new rigs on the come. Can you maybe comment on your expectations for day rates in the international market and maybe term opportunities? We ask this because we haven't really seen leading edge rates move for most of the year, and the new contract terms have shrunk considerably, and want to know what your thoughts about this dynamic is?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: I think Paul said in his earlier remarks that the -- the -- the rates have, I guess the word he used was stagnated. One thing I'd point out, in our portfolio of assets in the last six months, we've had nothing but upticks in our new contracts. It's clearly not accelerating at the rates it did say 18 months ago. We've still been able to manage to uptick.
Paul Mars - President of ENESCO Offshore International: Just to add to that, if you look at the website, you'll see the latest fixtures on ENSCO 51 and ENSCO 67 are considerably higher than what they were previously.
Alan Laws - Merrill Lynch: Yes. We've seen them roll onto new contracts that were within the umbrella of the leading edge rates, but just wondering. So, generally, you're seeing the rates sort of top out here, but what about the term side of this?
Paul Mars - President of ENESCO Offshore International: Particularly in Southeast Asia, we're seeing some term work and some short-term work. And I think at this point in time and it's historical that what usually happens is the operating companies go through their budget process, it's kind of a lean time for prospects. As soon as they get the budgets fixed, then we're expecting to see an uptake in the amount of prospects, both long-term and short-term.
Alan Laws - Merrill Lynch: All right. That's even with the rigs coming in. A lot of them are being built in that region.
Paul Mars - President of ENESCO Offshore International: Correct.
Alan Laws - Merrill Lynch: All right. Another question I have was on the Gulf of Mexico. Going to ask the, we asked this to Diamond just an hour or so ago and they told us to actually ask you. So, here it goes. Given the softness in the Gulf of Mexico market and, I think we counted about 17 warm stacked units, the rigs coming into the global market which we think limits relocation potential, what would keep the rates from heading to the cash break even level over the next year if demands were to stay where it is today? We've already dropped over 40%, what's going to keep it this time or this cycle from happening?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: There are two things that will keep that from happening. One is a migration or continued migration of rigs out of that market to other more lucrative markets. And the other thing is an increase in activity in the Gulf of Mexico, both of which I think are going to occur.
Alan Laws - Merrill Lynch: 17 is a lot of rigs though to take up on a basis given the present gas price environment.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Yeah, but a lot of them are lower end rigs, Alan.
Alan Laws - Merrill Lynch: Sure. Just as another fall on to that, how much of a relocation are you willing to absorb to get the rigs out of the Gulf? The mold and the upgrade or -- ?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: I think that is pretty fact specific for a job. You have to evaluate each one individually. Kind of generalize about that.
Alan Laws - Merrill Lynch: All right. But even your recent relocation to Mexico you bid a rig, like a bigger 350 on a 300 project. Is that a strategy just to get them out of the Gulf?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: No. I think your need to look at that pretty carefully. When we looked at that tender, yes, it was for a 300-foot rig. We didn't have a 300-foot rig that we could tender that was available. So, we had to look in our portfolio of assets in the Gulf of Mexico and decide what rig was the best rig to bid for that job. The rig that we bid was the rig that would get us the best economic return, i.e., required the least amount of work to get it ready for the job. We didn't have a 300-foot rig that could have addressed that job.
Alan Laws - Merrill Lynch: Okay. Good. Thanks. I appreciate it. Actually, one more. If [indiscernible] 60,000 a day in the Gulf, do you think this is the floor for them then?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Ask the Diamond guy.
Alan Laws - Merrill Lynch: All right. I've leave it at that. Thank you, guys.
Operator: And we'll go next to Waqar Syed at Tristone Capital.
Waqar Syed - Tristone Capital: Hi, gentleman. You may have answered this question, but on ENSCO 8500 in the press release today it was mentioned that it's going to start up late '08 and then in the fleet status it was indicated third quarter, are you not thinking it's going to be pushed back to like fourth quarter or late fourth quarter or are you still thinking it could be in the third quarter?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Well it is going to -- it'll come out of the shipyard in the middle of the year and then it takes a long time to get mobilized over here. It's -- I forget what we got in the budget for the year. There's no pushback on the dates. Waqar?
Waqar Syed - Tristone Capital: Yes. There's no -- I thought. Okay. Initially I think in the fleet status it indicated that it was coming in second quarter and then start up in third quarter. But the commentary in the press release was late 2008. So I thought maybe there's additional pushback. But you're saying no pushback there. It could still be modeling third quarter then startup.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: It's a matter of semantics. There's no change.
Waqar Syed - Tristone Capital: There's no change. Okay, thanks.
Operator: And we'll take our next question from Byron Pope at Tudor Pickering.
Dan Pickering - Tudor Pickering: Hi, it is Dan Pickering for Byron Pope here. I was hoping that you guys could maybe just help us understand the Saudi market as we compare it to the Gulf of Mexico market. It sounds like that's a target area. When we think about cash costs, cash taxes, things like that, how do the two markets compare?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: The Gulf of Mexico versus Saudi?
Dan Pickering - Tudor Pickering: Yes. I'm just trying to figure out so I can equivocate day rates if and when you guys were to be successful in Saudi?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: The differences between the markets at the moment, in Saudi you can get long term contracts of about three years at a day rate of more than twice of what you can get in the Gulf of Mexico. Operating costs are relatively compatible.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: They're actually pretty comparable. Cost structure.
Dan Pickering - Tudor Pickering: Okay. So cost structure all in including tax rate, etc.
Paul Mars - President of ENESCO Offshore International: Yes, yes.
Dan Pickering - Tudor Pickering: Okay, alright, that is helpful. And then, as we think about the Gulf of Mexico sort of follow on to Alan's question, strategically for ENSCO as you look at this market versus the international market, if the demand was there, would you move every rig out of the Gulf of Mexico if you could? Or is there strategic benefit to being involved here?
William S. Chadwick, Jr. - Chief Operating Officer and Executive Vice President: You know, the Gulf of Mexico is one of the world's major offshore drilling markets and we like to be in all of them. So, yes, there is some strategic benefit to being in the Gulf of Mexico. Now, that having been said, over the long-term I think we'll redeploy these assets wherever they generate the best returns in the long run. What we're seeing at the moment if one instant in time is the worst market condition we've seen in the Gulf of Mexico for quite some time. So, some balance will return. If the Gulf of Mexico were to continue at present levels of activity, we might consider moving all the rigs out of there, but we don't expect that to happen.
Dan Pickering - Tudor Pickering: And are there any assets in the Gulf of Mexico today that could not be moved out?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: No.
Dan Pickering - Tudor Pickering: So, physically, they could all move.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Yes.
Dan Pickering - Tudor Pickering: Okay. Thanks, guys
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Anthony, we have time for probably one more question.
Operator: And that final question will come from Thomas Curran at Wachovia Securities.
Thomas Curran - Wachovia Securities: Good morning, guys. Paul, I just want to return to the North Sea and explore that status of that market in a little bit more detail. It feels like we've been hearing for a while now that that market was in equilibrium. And we have seen day rates, leading edge rates basically remain flat there. You're now indicating that up to four to five jackups could leave and yet it doesn't sound as if the operators in the North Sea are moving in any way to prevent that. I'm just wondering why you think that it is, if again, you haven't seen any downturn in demand there.
Paul Mars - President of ENESCO Offshore International: We haven't seen any downturn in demand and what we're actually seeing from quarter two onward is an increase in demand. Now, again, historically, sometimes quarter four and quarter one in the North Sea people don't want to commence projects because it is in the wintertime and there may be potentially a lot of waiting on weather. So, we think some of the projects that we're seeing in Q2 and beyond are all because of that. The other thing you've got to look at is the increase in gas price in the North Sea. That's gone from less than $4 to $7.5 in a period of three to four months. So, as soon as that starts to continue going forward, then we are going to -- we think we're going to see an increase in demand. But the North Sea is no different from the Gulf. If you look at the number of rigs that's left the Gulf of Mexico, there's not a lot of operators that have done anything about it to try and prevent that. I think you're just seeing the same in the North Sea. They're going to wait and see what happens. If these three to four rigs do migrate out of the North Sea, then there is not going to be enough rigs there to fulfill demand in Q2 and beyond.
Thomas Curran - Wachovia Securities: I guess, with the analogy you just drew, you touched upon my major concern when it comes to the North Sea and that is we heard from the industry for several quarters straight that there was a looming and seemingly growing deficit on the horizon for the Gulf of Mexico and no one could understand why operators weren't moving to prevent continued departures and we've now come to learn that it was because demand remained in secular decline. Given BP's announcement about plans to cut their North Sea work force by 400 people or 300, I am just wondering, do you have any concerns that we could now be seeing a similar situation arise in the North Sea given its maturity?
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: To simply answer your questions, no.
Thomas Curran - Wachovia Securities: Okay. Alright, thanks, guys. I'll turn it back.
Daniel W. Rabun - Chairman, President, and Chief Executive Officer: Thanks. We would like to close by just thanking everyone for joining us today. We look forward to talking with you again Tuesday, February 26, 2008, when we review our fourth quarter and full year 2007 earnings. Thank you again.
Operator: This does conclude today's presentation. We thank everyone for their participation. You may disconnect your lines at any time. Have a nice day.